Operator: Good morning and welcome to EnWave Corporation’s Fourth Quarter Fiscal Year 2021 Earnings Conference Call. My name is Melissa and I will be your operator for today’s call. Joining us for today’s presentation are the company’s President and CEO, Brent Charleton and Dan Henriques, EnWave’s CFO and COO of NutraDried. As a reminder, all participants are in a listen-only mode and the conference is being recorded. After the presentation, there will be an opportunity to ask questions. [Operator Instructions].  Finally, I would like to remind everyone that this call will be made available for replay via a link in the Investor Relations section of the company’s website at www.enwave.net. Now, I would like to turn the call over to EnWave’s CEO, Mr. Brent Charleton. Please go ahead, sir.
Brent Charleton: Thank you and welcome to everyone on the call today. Before I discuss our recent performance in Q4 and our outlook for fiscal 2022, I would like to remind everyone that the information we're about to present contains forward-looking information that is based on management's expectations, estimates, and projections. These statements are not a guarantee of future performance and involve a number of risks, uncertainties, and assumptions. Please consider the risk factors in the filings made by EnWave on SEDAR when reviewing this information. Also all amounts discussed would be in Canadian dollars unless otherwise noted.  Now with the important disclaimer complete let's discuss the material progress that EnWave has made. For the purpose of this conference call we will refer to our patented vacuum microwave technology business unit inclusive of our licensing, machine sale, Toll Manufacturing and Service we've dubbed REVworx at EnWave. And our operating subsidiary that's leveraging Radiant Energy Vacuum or REV technology for branded and boxed snack products as NutraDried. Today I will first provide an overview of EnWave’s corporate progress in fiscal year 2021 as well as a summary of the progress we have made with NutraDried following the restructuring. I will also cover our plans in the next fiscal year for both business units and following my update Dan, EnWave’s CFO and COO of NutraDried will summarize our Q4 consolidated financial performance and discuss several key financial pillars that give us a strong financial foundation for our company.  EnWave delivered a strong Q4 and its best ever financial performance in fiscal year 2021. NutraDried performed poorly in the first half of fiscal year 2021 with the previous management not adjusting the expense structure to align with the size of the business. This precipitated a major restructuring of the business unit this past February with view of immediate positive change and have set up NutraDried for a planned return to growth and profitability in fiscal year 2022.  During fiscal year 2021 EnWave signed the most new commercial agreements that we have ever signed in 12 months period prior 19 in all, with 14 new royalty brand licenses, five technology evaluation license option deals. We also received purchase orders for an additional 540 kilowatt of REV machinery with four new large scale sales and 1410 kilowatt units being sold. Of these sales four were repeat purchase orders from existing royalty partners and three were completed by third party machine resellers within our global network. We have significantly expanded our REV and reseller network and now have a dozen companies representing our technology helping us fill our sales pipeline with new opportunities.  EnWave generated its highest ever annual revenue of 13.9 million including royalties from NutraDried and best ever net profit of 1.2 million. Third party royalties increased by 100K in fiscal year 2021 to $920,000. We expect all of the previously noted 540 kilowatts of new REV machine orders to be installed generating royalties by Q3 fiscal 2022. Our focus continues to be the building of a diversified royalty portfolio through the commercialization of REV primarily in the food and cannabis industries. And we have signed several notable deals this past year including two licenses with U.S. based multi-state operators in the cannabis industry including one of the largest MSOs in North America. We will have three large scale REV machines operational early next year in the cannabis market generating new royalties for us. Our tech is proven at scale for cannabis applications retaining at least 20% more terpenes and higher level of cannabinoids than room or rack drying. Thus we believe that REV could become the industry standard for cannabis drying. We have many active opportunities to pursue but the value to the sector is clearer than ever.  We announced a global strategic partnership with Dole Sunshine Company to develop innovative nutrition solutions. We're currently very active working with Dole on several projects to potentially integrate REV technology into its global production system and I'm hopeful that we will have material updates to share with the market in the near-term. Historically we haven't had the ability to produce material amounts of REV dried product for prospective royalty partners to test in market. The build out of our REVworx Toll Manufacturing facility will materially reduce this limitation and lower the risk for companies to commercialize new REV dried applications. Our goal is to accelerate the adoption of REV technology by eventually converting REVworx clients into royalty partners after helping them improve their respective business cases.  Our REVworx Toll Manufacturing facility is almost complete. The REV machines have been put in place, we have purchased a medium sized air dryer to compliment that function, that will be commissioned in January and we will be ready for initial commercial production in the next few months. We expect to confirm our first tolling contracts early in the New Year. With REVworx study up shortly and our machine sales and licensing business gaining momentum I'm very bullish on EnWave’s prospects for fiscal year 2022.  On to NutraDried. Following a poor first half of fiscal year 2021, we have materially reduced the expense structure at NutraDried. Our new CEO at NutraDried Brad Lahrman brings a pragmatic approach to deploying resources and is laser focused on achieving profitability. Brad will work closely with Dan and I to optimize future return on investments made that support key initiatives in NutraDried, overspending with a habit of past management and we have certainly fixed that. Annual expenses at NutraDried have been reduced by 2.6 million and they are not expected to increase until the business scales revenues for its portfolio of snack products. In order to return back to a growth trajectory and profitability, NutraDried needs to dramatically improve its gross margin, improve manufacturing utilization to increase contribution margins, and grow retail distribution. We are on it.  Recent efforts to turn around the business should generate momentum starting in fiscal Q2 behind recent customer wins including distribution of two SKUs in 700 additional Walmart locations, new placement in 1200 public locations, a national promotion with Costco Canada in February, confirmed distribution of three SKUs and 1300 target stores, and national distribution in 520 Whole Foods market stores beginning in May for our newest innovation Moon Cheese Crunchy Cheese Sticks, the first 100% cheese stick snack in the market. We are really excited about the launch of these Moon Cheese Crunchy Cheese Sticks and believe this new line has great potential to grow our distribution. Moon Cheese Crunchy Cheese Sticks will be available in five flavors and offer consumers 14 to 15 grams of protein, only 3 grams of carbs, and 1 gram or fewer of sugar per serving. We have received an overwhelmingly positive response from buyers and believe our new Crunchy Cheese Sticks to be a material driver of growth for NutraDried in fiscal 2022. These customer wins of NutraDried tracking towards the 4 million to 6 million increase in retail growth with more hopefully on top of that.  In Q3 we enjoyed an uptick in bulk sales which tempered in Q4. We have a pipeline of prospective bulk customers that we're working to confirm and we believe that NutraDried’s bulk business will be a material part of its future business. We are active on several bulk projects that we're aiming to close over the near-term. We expect NutraDried to continue its turnaround in fiscal 2022 given the launch of Moon Cheese Crunchy Cheese Sticks, confirmed customer wins, and pending decisions from additional distribution opportunities expected in the coming months. NutraDried is targeting a return to positive adjusted EBITDA in fiscal 2022.  At EnWave our fiscal year 2022 goals include improving our top line performance by selling 10 large scale and 15 10 kilowatt REV machines building a material book of business for REVworx and reaching consistent profitability. The relatively quiet Q1 was not indicative of our pipeline and I expect the majority of purchase decisions to take place during Q2, Q3 of this year. Of the large scale REV machines we hope to sell, 70% of targets come from existing royalty partners that are communicating a potential need to scale up their manufacturing capacity to meet the market demand for their REV dried products, it should be a very busy year for us. I'll now turn it over to Dan Henriques, EnWave’s CFO and NutraDried’s COO to summarize our Q4 financials. 
Daniel Henriques: Thanks Brent. Good morning everyone and thanks for joining us on today's call. I will now take some time to review our Q4 2021 financial results. Please read our MD&A for an analysis of the full year 2021 annual results. Note that the figures I'll be going over today can be found in our press release from this morning and in the financial statements and MD&A filed on SEDAR and all amounts are in Canadian dollars unless otherwise noted. I will make reference to adjusted EBITDA which is a non-IFRS financial measure, so please refer to the non-IFRS financial measure disclosures and reconciliations to GAAP net income in our MD&A.  Our Q4 financial results reflect a very strong commercialization progress made by EnWave throughout 2021 and the continued turnaround taking place at NutraDried. The commercialization of REV technology is ramping up across the food and cannabis verticals and our sales of machinery and related margins were robust. EnWave’s technology division achieved positive net income of 1.2 million for the fiscal year, something we're aiming to repeat as we accelerate the commercialization of REV technology. For Q4 we have reported consolidated revenues of 6.9 million relative to 7.3 million in Q3 of 2021 and 10.7 million in Q4 of 2020. Revenues from EnWave in Q4 were 3.9 million compared to 3.5 million in Q3 with the growth coming from more REV machinery sales compared with growth in our royalties.  Our royalties in Q4 were 245,000 compared to 191,000 in Q3, representing growth of 28% quarter-to-quarter. We have recently completed the installation of two large scale machines and as we continue to deploy REV machinery for commercial use, our royalties should continue to compound. Revenues from NutraDried in Q4 were 3 million, compared to 3.7 million in Q3. NutraDried’s revenues were lower than in Q3, primarily due to smaller shipments into the newly penetrated bulk channel, which remains an important channel we are aiming to grow. NutraDried remains focused on growing the bulk and co-manufacturing channels.  NutraDried’s revenues in Q4 were lower than the prior year by 6.1 million because in Q4 of 2020, we had national shipments to Costco under our buy one get one promotion that was critical to reducing excess inventory at risk of expiry. This was not repeated in Q4 2021. Gross margin in Q4 was 34%, relative to 36% in Q3, well above the 20% experienced last year in Q4 2020. We believe that while the gross margin of 34% is strong and reflects the value in our business model, it can be further improved with better plant utilization and NutraDried in the coming quarters. Q4’s gross margin benefited from the buyback and resale of a 120 kilowatt machine for a substantial margin. We are aiming to confirm the resale of a second 120 kilowatt machine for a favorable margin in the near term.  NutraDried’s margin in Q4 still needs further improvement. We've adjusted our cost structure and are focusing our sales efforts on higher margin opportunities and channels. Our objective is to continue to grow the new serve margins through additional usage of the installed plant capacity, growing the bulk and Toll Manufacturing revenue streams, and expanding distribution points and sales for our branded products. At EnWave our objective is to maintain a low and variable overhead cost structure and to deliver our machines to the market in a timely fashion. We also aim to grow our margins by increasing the volume of machines and compounding our royalties.  Now turning to selling, general, and administrative expenses. We took significant steps in February to lower our SG&A spending at NutraDried to properly align its expenses to the size of the business. Our SG&A expenses for Q4 inclusive of R&D reflect the cost saving measures implemented during the second half of the fiscal year. In U.S. dollars, we reduced SG&A expenses at NutraDried by a million in the second half of the fiscal year and for an annual run rate reduction of $2 million U.S. In Q4 2021, we reported G&A expenses of 1.7 million relative to 1 million in Q3 of 2021, with the increased G&A arising from EnWave. The additional 700,000 of G&A expenses in the period are not anticipated to be recurring and primarily relate to legal expenses, insurance premiums, and year-end adjustments to variable compensation. We do not expect G&A expenses to sustain at this level for Q1 and beyond into 2022.  In Q4, our sales and marketing expenses were 996,000 compared to 831,000 in Q3, and 1.2 million for Q4 of 2020. Sales and marketing expenses increased slightly in the period, with some more business travel resuming and costs to attend Expo East, a major CPG trade show. We plan to invest in sales and marketing activities to support the growth in the commercialization at both EnWave and NutraDried, but do not expect to materially increase these costs in the near-term. Adjusted EBITDA is a non-IFRS financial measure, so please refer to our MD&A for the reconciliation from GAAP net income to adjusted EBITDA. Our adjusted EBITDA was a loss of 223,000 for Q4 relative to an income of 937,000 for Q3 and breakeven for Q4 of 2020. And we've achieved positive adjusted EBITDA in Q4, which was offset by NutraDried’s EBITDA loss. We firmly believe that with our cost structure and business development pipeline, that we can reach consistent quarterly positive adjusted EBITDA in 2022. We'll continue to invest where we need to in order to drive revenue growth, and we'll closely control spending at both EnWave and NutraDried. Our primary objective is to achieve consistent profitability across both segments of our business.  Our balance sheet remains strong and we have plenty of cash and the appropriate levels of working capital. As of September 30th, our cash position was 11.8 million and we had net working capital of 17.3 million despite using 1.8 million of cash to buy back stock using the NCIB. Our inventory includes a fully fabricated 120 kilowatt machine that we are working with several prospects to confirm a near-term order for. This should further bolster our Treasury. In fiscal year 2021, we generated just over 2 million in cash from operating activities and use 1.9 million to invest in new plant and equipment, mainly for our REVworx location and use 1.8 million to repurchase and cancel shares under the NCIB. Our balance sheet also has 1.1 million of loans receivable on it, which relates to finance arrangements with our royalty partners for the purchase of machinery that is paid back to the company in blended monthly payments. This has allowed us to generate returns of 8% to 10% on the capital deployed to finance these loans.  Lastly, in practical terms, our balance sheet remains debt free except for facility leases and a small, low interest COVID-19 relief loan received by NutraDried. During fiscal year 2021, we used $1.8 million in cash to repurchase and cancel 1.7 million common shares under the normal course issuer bid at a weighted average price of a $1.04 per share. We recently obtained TSXV approval to renew our NCBI for another annual term as our business evolves. If we believe that our share price does not appropriately reflect the value of the company, we will activate the NCIB when not in blackout conditions to return value to our stockholders. With that, I'd like to turn it back to Brent for some closing remarks.
Brent Charleton: Thank you, Dan. One additional topic I'd like to address is the ongoing litigation against several former employees of EnWave among others. The British Columbia Supreme Court granted an injunction on August 20, 2021 prohibiting EnWave’s former CEO Mr. Durance and others and any person acting on behalf of or in conjunction with them from selling, attempting to sell, supplying, delivering, or installing vacuum microwave dryers. The injunction was granted as a term of an adjournment sought by the defendants to EnWave’s application that seeks an injunction pending trial. The injunction will remain in place until the court makes a final ruling after hearing the injunction application, which is currently scheduled to be heard on January 17th-18th 2022. We maintain our determination to pursue the allegations we have made with vigor and believe that our case is strong. EnWave’s intellectual property, including its patents, know-how, trade secrets, and confidential information is the foundation of our royalty licensing business, and we will protect it enthusiastically. That being said, as the majority of our resources are and will continue to be focused on building our business, and I'm really, really excited about our prospects this year. We have several opportunities that if converted, will take our company to the next level. Now, with my prepared remarks complete, I would like to open the call for your questions. Operator, please provide the appropriate instructions.
Operator: Thank you. [Operator Instructions]. Our first question comes from the line of Steve Hansen with Raymond James. Please proceed with your question.
Steve Hansen: Yeah. Good morning, guys. Thanks for the time. Couple for me, just to start with, just on the commentary Dan or Brent around consistently hitting positive EBITDA through 2021, should we expect that to start in the front quarter or is it more of 2Q, 3Q starting points to sort of hit that pace?
Daniel Henriques: Hey Steve. Q1 has -- our machine sales, the pipeline that we're dealing with seems to be stacking up to hit more in Q2, Q3 and certainly into Q4, so you could expect it to shape up probably in the second half of the year. The turnaround at NutraDried is still well underway, and we've made a bunch of commercial progress but the commitments we get from retailers tend to come three to four months in advance of products leaving our dock. So that should also start to show up in the second half of the year.
Brent Charleton: Just to add to Dan’s commentary we do have as you mentioned, a fully fabricated 120 kilowatt machine and we've actually got four different suitors that are hopefully one of them is going to pull the trigger within the weeks here. And then we've got several other machines that are partially fabricated. So our ability to recognize revenue on the sales of those large scale machines will be advantageous through hopefully in the next few weeks here of Q1 and certainly in Q2. 
Steve Hansen: Okay, great, helpful. And just I want to circle back Brent on your prepared remarks around the new products, Crunchy Cheese Sticks and some of the opportunities there. Can you just maybe just recap those, I think you said you were tracking towards a certain amount of retail growth this year on the back of that launch and some of the other progress you've been making, but just maybe give us a sense for the timeline for that product, the rollout, the launch customers, I suppose, and then what kind of incremental revenue that'll generate this year?
Brent Charleton: No problem. So right now, given the commitments that we've gotten for new distribution for not only the Crunchy Cheese Sticks, but also the baseline snacks in our portfolio, currently in NutraDried, we're anticipating a 4 million to 6 million lift in revenue generated from retail growth. That's not including some of the other bigger opportunities that we're still working right now in the club channel. And the launch of the crunchy cheese snacks is tagged for the spring of 2022 and the marquee first large distribution of that product line will be in Whole Foods nationally in the United States. So we're really excited and take three SKUs, and I think the feedback that we've received thus far has been far more positive than we ever have had launching or trying to pursue additional distribution for Moon Cheese given that the analog itself, the Cheetos or puff format that consumers are very familiar with, has also resonated quite clearly with buyers. So we're really excited about the launch. 
Steve Hansen: And the whole foods launch nationally, it sounds like it's an exclusive deal to some degree, at least for the initial term or is it going to be something you will launch more broadly thereafter? 
Brent Charleton: We're going to be launching everywhere that we possibly can. Whole Foods stepped up and committed first. So they're going to have an exclusive one particular flavor profile for a limited time period to provide a slight competitive edge in terms of bringing a new product to market. But the core flavors within that five flavor portfolio will be readily available for distribution everywhere and anywhere. 
Steve Hansen: Got it, okay, helpful. And then just thinking back to the targets for the year, on the machine sales side, I think you said 70% of the large target will come from existing licensees. Do you think there's an opportunity, 7 out of 10, do you think there's an opportunity to sell more than three outside of the existing customer base I guess, is the question? 
Brent Charleton: Yeah, we definitely believe that is feasible, particularly given the momentum that we're starting to see in the U.S. cannabis industry, having our large scale line operational in Illinois now, and having had several prospects go and see that particular operation in times past, and then the second one to be installed early in Q2 at our second MSO site and having that particular partner also speak the praises of the value proposition of our tech in the space. That's now led to some material new engagements and many of which of those folks are building out facilities to be complete next fiscal year. And so for us, we're expecting those pursuers to come through in Q2, Q3. 
Steve Hansen: Okay, very helpful. I'll get back in the queue. Thank you. 
Operator: Thank you. [Operator Instructions]. Our next question comes from the line of Neil Linsdell with iA Capital Markets. Please proceed with your question.
Neil Linsdell: Hey, good morning guys. I was just, kind of feeding into what Steve was asking as well. So the different products that you have, so you're going to have your Moon Cheese, you've got your sticks, you've got your bulk sales. Can you provide any additional color, it looks like the sticks are going to go into Whole Foods first but do you expect to get additional traction out of your existing I guess, channels to -- are customers going to have Moon Cheese plus Cheese Sticks or are some thinking about replacing Moon Cheese with Cheese Sticks, or where do you see the traction for each one of the products gaining the most benefit?
Daniel Henriques: That's a good question, Neil. We definitely see the new lineup as complementary to the core Moon Cheese lineup. For example, Whole Foods taking three items of sticks nationally, huge first win for us with the new lineup. It's not displacing our existing distribution of Moon Cheese with Whole Foods. It's two places in the store. Historically, our Moon Cheese or core Moon Cheese lineup has been shelved in different places in the store most often crackers sometimes in the deli. The occasional time we're in the snack section, but surprisingly not always. And the new lineup of sticks really belongs in the salty snack section and if you go into Whole Foods in the States, there's a whole -- there's three or four brands that are trying to knock off the better for you cheese puff Cheetos. And we're going to be the first ones to bring the 100% cheese format of that to market. So we see it being shelved into different parts of the store. Whole Foods was the first customer that we actually presented it to and we got the distribution. So we're pretty bullish on this being incremental to our core Moon Cheese.
Brent Charleton: Yeah, I will add to Dan’s comments and that Whole Foods with their set lineup for the spring really had spaces for two SKUs and they actually displaced another product so that they can bring in three SKUs of Moon Cheese Crunchy Cheese Sticks. So they're also quite bullish on the prospects of this product line. 
Neil Linsdell: Okay, and then to talk a little bit more about the bulk sales, it sounded initially like it was going to be more like excess inventory that you would have been selling through the bulk sales but now it sounds like you're actually looking at longer term contracts with was it five customers?
Daniel Henriques: Yeah, we're pursuing that. So, it's a bit of a longer sales cycle than a typical CPG product sale. We're working with a bunch of companies on innovating new snack combo ideas, so pairing our Moon Cheese format with nuts and other things like that, to bring to the market under their brands. We've got a few of them already. The large bulk sales orders we had in Q3 was from a customer that was doing pretty good slip of business with Costco and as we know, things with Costco ebbs and flows, so didn't materialize in Q4, but still a solid customer of ours. And we're working on a bunch of other opportunities similar to that one to try to bring more bulk to market in the 2022.
Neil Linsdell: Okay, so then that brings me to a question of capacity at NutraDried. I think you have two large scale machines running there now, right, but you have space for a third?
Daniel Henriques: We have two large scale machines running right now with some leasehold improvements, we could install a third at that facility. We would just have to reshuffle some of the warehousing for finished goods but that is our expansion plan when we get ready for the third machine.
Neil Linsdell: Okay, but no forward-looking statement on when that might be when you need a third machine? 
Brent Charleton: Well, based on our plans for this year to drive, we're expecting to get feedback on some of the larger opportunities to really turn around NutraDried by sort of midpoint of the fiscal year. And so in the latter half, we'll have to make a decision on planning for manufacturing capacity needs. And this also coincide not only with the branded play, but we're just talking about the bulk opportunities with some of the larger dairy companies who have no other option, but to use co manufacturing capacity at either NutraDried or a partner in Canada Gailey foods. 
Neil Linsdell: Okay. And if we can dive in, I know in negotiations with Dole you can't give out a lot of details. But it sounds like that's just a really huge potential and I'm guessing one of those kind of groundbreaking relationships that could really take your business to the next level, as you were mentioning. Can you provide us any additional details on the advancement of their snack products or the upcycling of the other ingredients? 
Daniel Henriques: Yeah, certainly. And I would recommend for all of those on the line and any shareholders that are here on the call to go and read their sunshine for all plan where they're looking to, again, improve the amount of waste being converted into upcycled, saleable products by 2025 in a material way. And they directly just told us that they look at REV as a key platform to accomplish this goal. And so okay, that's great for them to communicate that but rubber needs to hit the road within the next three to four months here with prospectively several large scale purchase orders tied to two specific projects, the first focused on healthier snack products that differentiate in the marketplace. And so we're hopeful that we'll see dual commercial product in market within the fiscal year 2022, generating royalties for us. And the second being an upscaling of waste material in Southeast Asia, which I can't speak in too much detail, but the scale, the scope of the opportunities are more than we've encountered with other large CPG companies in the past. And so that's what really gets the juices flowing here within our team is ensuring that we help them prepare and plan for the manufacturing capacity needed for their projects in collaboration with a few additional service providers that they've engaged with. So I'll leave it there. I can't say too much more but just say that this year we're looking to generate royalties from Dole commercialization of REV dried product. 
Neil Linsdell: No, that's good color. Thanks. And just one last thing on the royalties. So it sounds like with the commissioning, especially with, you know, in the U.S. cannabis space that we might be exiting the fiscal 2022 with an appreciably higher royalty level, is that fair to say?
Daniel Henriques: Yes, our royalties for Q4 were 245,000 and they grew by I think it was 28% relative to Q3, so that was with a couple more commissioning. And just partners ramping up production. And so with the two large scale machines, one of them is already commissioned in the U.S. cannabis sector and the second one, we're commissioning in the next six to eight weeks here. We expect that number to grow substantially more and as we continue to close more deals then it should grow further. So we're optimistic for quarter-to-quarter royalty growth as we progress through the next year.
Neil Linsdell: Okay, great. Thanks a lot. 
Daniel Henriques: Thanks Neil. 
Operator: Thank you. Our next question comes from the line of Liam Dotchison with Cormark Securities. Please proceed with your question.
Liam Dotchison: Hi, this is Liam on for [indiscernible]. Was just wondering if you could repeat the guidance on machine sales both small and large and then also, if you have an expectation on timeline, just an additional color for when material inflection point might be hit regarding the ramp up in royalties based on how you're seeing clients using machines? 
Brent Charleton: Yeah, happy to provide a little bit more color. The guidance remains consistent from our Q3 conference call, where we are targeting to confirm 10 large scale, so 60 kilowatts or greater purchase orders through fiscal 2022 and 15 10 kilowatt machine sales, which are smaller entry level units that we hopefully can enable folks take product to market and justify their CAPEX deployment for larger scale machines. The influx of POs we're hoping to see should come in Q2, Q3. That's when key decision points have been communicated to us in terms of when they're going to say go or no go. And then from a royalty generation standpoint, as you mentioned, the 540 kilowatts of machinery that was purchased in fiscal 2021, we should have all of those machines installed by Q3. And from there on see an uptick in royalties, that is material when compared to fiscal 2021 numbers on a quarter-by-quarter basis.
Liam Dotchison: Great, thank you. 
Operator: Thank you. Our next question comes from line of Joseph Silla, Private Investor. Please proceed with your question.
Unidentified Analyst : Thank you. I was just wondering there were rumors that the weather in Vancouver was so bad, and it might have affected your production of facilities in some way, shape or form. Could you just shed some light on the recent storm and its impact on the company? Thank you.
Brent Charleton: Sure, thanks Joseph. First of all, we want to obviously send our condolences and thoughts to all the businesses and families and people that were affected by the terrible weather that we saw here on the Coast of British Columbia. But I will confirm that those storms, that terrible weather did not affect our company in any way, shape, or form in terms of our core functions. It did affect some of our suppliers, which delayed the delivery of some rudimentary componentry. But we always have backup suppliers to provide us with the same componentry which we had to employ that strategy during this time period. As we move forward, we always want to make sure that we're building a more robust plan of redundancies within our business, because things such as this crazy, let's call it 150-year weather experience we're having right now can come on anytime. 
Unidentified Analyst : Thank you.
Operator: Thank you. Our next question is a follow-up from the line of Steve Hansen with Raymond James. Please proceed with your question.
Steve Hansen: Yeah, hey guys, just wanted to follow-up on the national Costco promotion you guys have talked about recently. Kind of Costco is a double edged sword, it is great and then it comes with large volumes but it's also tends to be chunky and can be fleeting at times. I mean, how do you view the latest promotion win there and whether or not you can sustain a presence there? And I guess as a secondary related question is how do you think about Costco with respect to the cheap fix? Thanks.
Daniel Henriques: Thanks, Steve. Yeah, we recently announced the national distribution with Costco, Canada. So that'll be on shelf in January. It's a 10-ounce Gouda product so it will be in all Canadian Costco. So not as onerous of an undertaking to deliver the product for that rotation with Costco because it's Canada, so it's fewer warehouses. But still a very, very solid opportunity and we're glad to be back into Costco, Canada after our initial distribution we had there last year in April. So, I mean, Costco and the club channel is still an important channel for us. A lot of consumers shop there, it's very good place to get brand awareness. So with the stick, we certainly will be pursuing and have already started to pursue Costco for that product. It's to be seen whether we're going to be able to get it in there under circumstances that we'll be able to deliver on because if they come and said, we want national Costco we're going to have to ramp up the plant pretty quickly. But we're going to be going for it because it's great place to get brand awareness, especially for a new product.
Unidentified Analyst : Okay, great. It is helpful. And just this is a smaller point of things. But I wanted to ask about the recent evaluation agreements with this PiP International around [indiscernible] in particular. So just maybe the question is, ultimately, this space has a new market for you, so I'm curious as to whether this was an inbound, or it's something you're doing on the business development side and whether there's greater opportunities beyond just this one group, I think they do have some exclusive terms around their initial evaluation agreement, but just trying to get a sense of whether this is a new market you're trying to pursue over and above the markets we typically talk about? 
Brent Charleton: Thanks, Steve. So over the past 18 to 24 months, our core focus has been on verticals where we know the technology is clearly commercially viable, and the value proposition is hard to turn down. This came purely as an inbound where this company was looking to reduce the temperature of the drying process to reduce the amount of denaturation of the proteins within the product that they're producing through another proprietary process through wet fractionation. And so we did some initial trials here at our innovation center in Vancouver. And the results were very favorable upfront, which compelled them to immediately sign an evaluation agreement taking 10 kilowatts of their facility in Lethbridge, to do further trialing. From my understanding, they will be looking at either going to commit to large scale machinery in Q2, Q3, or not pending the additional trials that will be underway. Really, we will place resources on this project, intense resources to see if there's something here that can be then replicated with other companies, but won't do any additional business development until we are absolutely certain with PiP that this is a game changer in this particular industry. 
Unidentified Analyst : Okay, very helpful, guys. Appreciate your time. 
Operator: Thank you. Our next question comes from line of Eric Prism [ph] with EnWave. Please proceed with your question.
Unidentified Analyst : I'll clarify that I don't work for EnWave, just a private investor. But guys, I'm curious if you can comment on any non-cheese products that NutraDried might be looking at or have looked at? And also, do you guys have any products ready to go so that you're shopping around that you can or are prepared to launch on a shorter notice if you get to any interest from any potential vendors?
Daniel Henriques: Thanks, Eric for the question. Short answer is yes, we do. We have several products that we've developed in house, done the economic analysis and figured them to be very, very attractive products to bring to market. We've been shopping those around to prospective royalty partners, some are working on them in different jurisdictions outside of North America. But if we don't see someone step up and take a license and buy machinery from us in the immediate term here, it's likely that we will see additional products enter into the new tread portfolio through fiscal 2022. And that may not just be limited to dairy based snacks, it could include some other formulated products that we have already, again, constructed internally. And that should complement the efforts for the Moon Cheese portfolio nicely. I'll give you one example, -- snacks. We saw Ultima several years back launch a product, they were then acquired by Agroper [ph] and the folks at Agroper [ph] decided not to invest in a greenfield project to put large scale machinery in place for a relatively unproven product and market. Okay, that was their decision, we now have the manufacturing capacity at REVworx and NutraDried to produce this type of product and bring it to market, both on a bulk sales basis and potentially a branded basis. And so we're going to be doing a line trial for that in Q2 and if everything looks good, then we may decide to launch that in the latter half of next fiscal year.
Unidentified Analyst : I mean, that's great. That to me sounds like an opportunity for you to drive that, why would you shop that around to potential customers when there's something that you can keep in house or is there a blend there that you want to accomplish?
Brent Charleton: Yeah, the reason to be big brand versus startup with NutraDried so someone's going to establish a brand that they can leverage to sell metric tons of dried, REV dried yogurt snacks then that's a tool that we'd like to leverage to drive royalty growth, where we see building out a new product opportunity when new strides will likely be more resource intensive.
Unidentified Analyst : Alright, thanks, guys look forward to next year. 
Brent Charleton: Appreciate it. 
Operator: Thank you. Ladies and gentlemen, we've reached the end of our question-and-answer session. I'll now turn the call back over to Brent Charleton, CEO for closing comments.
Brent Charleton: Yeah, I would just like to thank everybody for joining us today and for being patient through the past quarter with the lack of news flow and I can just reassure you that through the next several quarters, we will be hoping to bring you much more material news flow tied to the guidance that was provided on today's call. So with that, quarterly earnings conference call is now complete. You may disconnect and if you have further questions following the call, please do reach out to us at IR at EnWave.net.
Operator: Thank you ladies and gentlemen. Thank you for joining us today for EnWave’s quarterly earnings conference call. You may now disconnect your lines.